Operator: Good day, everyone, and welcome to the Oracle Corporation fourth quarter fiscal year 2010 conference call. As a reminder, today’s conference is being recorded. At this time, I would like to introduce Ken Bond, Vice President of Investor Relations, Oracle. Please go ahead, sir.
Ken Bond: Thank you, operator. Good afternoon, everyone, and welcome to Oracle’s fourth quarter and fiscal year 2010 earnings conference call. I am Ken Bond, Vice President, Investor Relations. And with us on the call today are Chief Executive Officer Larry Ellison; President Safra Catz; President Charles Phillips; and Chief Financial Officer Jeff Epstein. As a reminder, today’s discussion will include forward-looking statements including predictions, expectations, estimates or other information that might be considered forward-looking. While these forward-looking statements represent our current judgment of what the future holds, these statements are also subject to risks and uncertainties that may cause actual results to differ materially from statement being made today. Throughout today’s discussion we will attempt to present some important factors relating to our business, which may potentially affect those forward-looking statements. We encourage you to review our most recent reports on Forms 10-K and 10-Q and any applicable amendments for a complete discussion of these factors and other risks that may affect our future results or the market price of our stock. As a result, we caution you against placing undue reliance on these forward-looking statements, which reflect our opinion only as of today. As a reminder, we are not obligating ourselves to revise or publicly release any revisions to these forward-looking statements in light of new information or future events. A copy of the press release and financial tables, which includes a GAAP to non-GAAP reconciliation and other supplementary financial information can be viewed and downloaded from our Investor Relations website. We’ll begin the call with a few prepared remarks before taking questions from the audience. And with that, I would like to turn the call over to Jeff Epstein for his opening remarks. Jeff?
Jeff Epstein: Thank you, Ken. Good afternoon, everyone, and thank you for joining us. I will review our non-GAAP financial results focusing on U.S. dollar growth rates unless otherwise stated. This quarter, foreign exchange rates were not much of a factor in our overall results compared to our guidance of a 3% benefit to new license revenue and a 4% benefit to total revenue. Even with the currency tailwind being less than anticipated we were at the high end of our guidance range for total revenue and we beat our guidance ranges for new license revenue and EPS with record earnings per share this quarter. On a constant dollar basis, we beat our guidance ranges for new license revenue, total revenue and earnings per share. In short, Q4 was an excellent quarter for Oracle. In the fourth quarter, new software license revenues were $3.1 billion, up 14%. The Americas grew 28%, EMEA was down 3% in U.S. dollars, and up 4% in constant dollars. And Asia was up 15%. Our results continue to underscore the strength, balance and diversity of our business and the quarter was not dependent on usually large deals. Technology new license revenues were $2.3 billion, up 18% as the Americas grew 34%, EMEA was down 1% in U.S. dollars and up 6% in constant dollars and Asia was up 19%. Applications new license revenues were $855 million, up 6% from last year. The Americas grew 16%, EMEA was down 7%, and Asia was up 2%. Our software license updates and product support revenues were $3.5 billion, up 13% from last year. Customer support attachment and renewal rates continue at near record levels. Revenues from our hardware systems products were $1.2 billion, while revenues from hardware system support were $688 million. Our services revenues were $1.1 billion, up 4% as we continue to manage this business to profitable margins. Our total revenues were $9.6 billion, up 40% from last year. Non-GAAP operating income was $4.4 billion, up 26%. The non-GAAP operating margin was 46% for the quarter. Our tax rate for the fourth quarter was 27.3% as we saw some one-time benefits to our tax rate. Our Q4 non-GAAP earnings per share were $0.60, $0.04 above the high end of our EPS guidance range of $0.52 to $0.56. Earnings per share were up 30% from last year. In Q4, we repurchased 10 million shares at an average price of $24.94 per share for a total of $250 million. For the full year, we repurchased 43.3 million shares at an average price of $22.94 per share for a total of $993 million. As we have previously discussed the rate of our stock buyback will fluctuate each quarter, taking into account alternative uses for our cash and our stock price. Now, turning briefly to fiscal 2010 full year results, new software license revenues were $7.5 billion, up 6% for the year. The Americas were up 15%, EMEA down 5%, and Asia grew 4%. Technology new license revenues were $5.4 billion, up 6% while applications new license revenues were $2.1 billion, also up 6%. Software license updates and product support revenues totaled $13.2 billion, up 10%. Our total revenues were $27.0 billion, up 15%. Non-GAAP operating income was $12.5 billion, up 15% and non-GAAP operating margin was 46%. Our fiscal 2010 non-GAAP earnings per share were $1.67, up 16% from last year. Turning to the balance sheet, we have $18.5 billion in cash and investments. Our day’s sales outstanding improved again to 53 days compared to 58 days last year and is a testament to the quality of our receivables, the quality of our customers, and the effectiveness of our collection efforts. Finally, we generated $8.5 billion in free cash flow during the last four quarters, up 9% from last year. Now, I will turn the call over to Safra.
Safra Catz: Thanks, Jeff. I will briefly comment on our non-GAAP results for Q4. I will then review guidance for Q1 and turn the call over to Larry. Obviously, we are very pleased with our Q4 results and with our outstanding performance throughout the year. Our business is extremely healthy with substantial strength in database, middlewares, apps, and hardware. Our tech business, highlighted by database was spectacular this quarter, with growth of 18%, including 34% growth in the Americas. Our applications business was also strong with 5% growth over the last 12 months on a constant dollar basis versus a negative 24% for SAP for our most recent quarter. Sun hardware systems revenue came in well, taking into account the fact that we’ve already ended Sun's reselling of other companies’ products, which had historically accounted for hundreds of millions of dollars a year in sales. This quarter, we saw sales growth for Sun hardware products. In addition, our estimate for the Sun business contribution to operating income comes in at over $400 million for our first full quarter after the merger. This compares to the loss in Sun’s quarter ending June of last year when Sun was an independent company. Now, to get to that number, we’ve done some allocations for the quarter and because a lot of our back office and software R&D and software sales operations have already been integrated with Oracle’s pre-merger team, now in the coming quarter some of the expense estimates may really be too difficult to make, but we will break out the revenues and the segregated expenses whenever possible for the remainder of this year. Clearly, we continue to expect Sun’s contribution to meet or exceed $1.5 billion for non-GAAP operating income in fiscal 2011 and $2 billion in fiscal ’12. We’ve also made excellent progress with our supply chain efficiency efforts as the non-GAAP gross margins for systems was 46%, much, much higher than the 33% we reported last quarter. And as a remainder, Sun’s product gross margin, which included software margin was 38% last year. In addition to our strong top line performance, we delivered very strong operating margins. With Sun included for the full quarter, our operating margin was 46%, substantially higher than our peers including IBM and SAP. Our 46% operating margin remains much higher than SAP’s even though we are also selling hardware. Fiscal 2010 again demonstrates the strength of our diversified portfolio of enterprise products, the breadth and loyalty of our huge customer base and the strength of our operating model. The fact is we have a lot of company-specific momentum. We really executed well throughout the year and exceeded our own expectations quarter after quarter. Now before I turn to guidance for the upcoming year, let me just remind everyone that our plans for Sun is based on a more profit aware model. As we said a number of times, we are no longer selling products at a loss as Sun did. We are now compensating our sales teams on margin, not just revenue, and this has the effect of changing the sales mix from systems where Sun lost money to value-added systems where Sun’s differentiation is clear to our customer. These changes are allowing us to form a base line for our hardware revenues and profitability at a level from which they can grow. So, let’s get to the guidance. And we do believe that the guidance I am giving today is conservative. I want to emphasize that our pipelines are very strong in both software and hardware. For the coming quarter, assuming the exchange rates remain at current levels, which right now is a negative 2% currency effect on license growth rate and a negative 3% effect on total revenue growth rate. With that, our guidance for Q1 is as follows: New software license revenue growth is expected to range from 4% to 14% in constant currency and 2% to 12% at current exchange rates. Hardware product revenues are expected to be around $1 billion in constant currency. That doesn’t include the hardware support revenues. Total revenue growth on a non-GAAP basis is expected to range from 44% to 48% in constant currency and 41% to 45% in current exchange rates. On a GAAP basis, we expect total revenue from 42% to 46% in constant currency and 39% to 43% at current exchange rate. Non-GAAP EPS is expected to be $0.36 to $0.38 in constant currency, up from $0.30 last year, and from $0.35 to $0.37 assuming current exchange rates. GAAP EPS for the first quarter is expected to be $0.18 to $0.19 assuming constant currency and $0.17 to $0.18 using current exchange rates. This guidance assumes a GAAP tax rate of 33.5% and a non-GAAP tax rate of 28.5%. Of course, it may end up being different. And lastly, the Board again declared a dividend of $0.05 per share. With that I will turn it over to Larry for his comments.
Larry Ellison: Thank you, Safra. When we introduced the Exadata database machine, it really was focused on datawarehousing and our primary competitors were companies like Teradata and Netezza. When we introduced Version 2 of our Exadata database machine in partnership with Sun and then we bought Sun, we really focused not simply on datawarehousing performance, but also on online transaction processing. And our current version of the Sun Exadata database machine substantially outperforms IBM’s fastest computer in both datawarehousing and transaction processing. As a result, in our previous quarter in Q4 some of IBM’s largest customers began buying Exadata machines rather than big IBM servers. And the 2011 Exadata pipeline continues to grow and is now approaching $1 billion, making Exadata the fastest growing new product in Oracle’s history. Now, back to Q4. Again, I said the competition has really shifted from companies like Teradata and Netezza to big IBM machines and the Q4 results bore that out. We beat IBM 30 times in Q4. We beat Teradata nine times in Q4, and we beat Netezza seven times in Q4. And we sold the Exadata machine into some of IBM’s largest and bluest accounts, including Bank of America, Carrefour the second largest retailer in the world behind Wal-Mart and Thomson Reuters. I will turn it over to Charles who will give you a broader picture of how our other products did in Q4. Charles? Charles?
Charles Phillips: Thanks, Larry. We really had good team work across all the account execs by product family. It was really a good quarter and as you can see North and Latin America were strong results. They’ve exceeded plan as they have all year long. EMEA in particular did a great job of delivering results against some tough comparisons especially in the context of the change in the UK government, financial instability in Greece and Spain, while integrating acquisitions. So with all those headwinds, they delivered good results. And Japan saw a rebound from a rough start to the beginning of the year. What I am seeing in the field right now, we have many more touch points with our accounts. So our visibility and understanding of customer requirements has significantly improved. And right now almost any decision they make in the data center could potentially involve Oracle now. So, we have deployed a cadre of technical advisors that we call client architects that essentially act as dedicated CTOs for our larger customers who want to stay tightly aligned with Oracle’s strategy. These client architects are more in demand as we become more important to our customers. They advise the CIOs on how to invest and shape their architectures in concert with Oracle’s investments. We are improving the attach rate on deals to drag along multiple products up and down the stack and which continues to get better as the products get more integrated. We also saw our partners, in particular the systems integrators and even some of the hardware companies make a concerted effort to reinvigorate their partnerships post the Sun acquisition, which may be counter-intuitive, but I think they’d see the momentum in the market and want to align themselves accordingly. It’s also reflected in the amount of companies signing up as sponsors for Oracle OpenWorld, by the way. So, final comments, Fusion Middleware 11g, upgrades to 11g from 10g are off to a faster pace. Keep in mind that we already had most of the customer base on 10g. 88% were on 10g and now they are moving faster than the 10g customers moved. We have several new options around 11g, which means about 70% of the installed base is a candidate for add-on product modules once they upgrade. WebCenter within the Fusion Middleware suite did well in the quarter. Just want to point that out because with enterprise portal content management product we replaced SharePoint at Airbus and McAfee. Also I wanted to note that one of the recent acquisitions, GoldenGate, which is the leader in data replication across heterogeneous databases, got off to an extremely fast start with wins at Cern [ph] and other large companies. But more importantly it’s getting us into accounts who are using non-Oracle databases, since they are replicating across databases. During the quarter, we released Enterprise Linux Version 5.5. We now have over 5,000 Linux customers on our Enterprise Linux, over 400 added in the quarter. We are making investments around Oracle VM, our virtualization product and working on ways to leverage virtualization across our entire product line. Just one small example, we are working on an Oracle VM machine. This is Sun server with an integrated network switch and storage array, Oracle VM, VM Manager, and VM Templates preconfigured in a ready to deploy rack. And we can package this technology in ways that most people can't. It adds a lot of value and our competitors are trying to mimic it right now. We also released Enterprise Manager 11g in the quarter. That’s our systems management product. That’s a milestone release, because first I mean it’s applications down to storage, which is kind of what we have been talking about for quite a while. But this is a single management platform to monitor that entire stack. In the applications area, we had a very strategic and large win at Merck across multiple pillars. It also included some health sciences products from the vertical – in that GBU. And in CRM I have talked about ADP in the past, they expanded their CRM footprint both on-premise and on demand CRM; we are the [ph]standard there now. As of PLM, we had a large win at Foxconn, a large contract manufacturer that makes the iPhone. Although they are using an SAP bank-end, they are using Agile now for product lifecycle management. So, our Agile applications continue to do extremely well in SAP accounts. And then in financial services, we had a good win with Mantas and Reveleus, our risk management and anti money laundering solutions at PMC Financial Services Group. And we won two large banks in China with our FLEXCUBE core banking platform and they are working with us to build out the localizations, which is important for future wins. And lastly, just to give you – let me give you a sense of the types of hardware purchases on the Sun SPARC tech where we are seeing momentum there as you see saw in the numbers. Types of companies that are committing to the M series or the T series, International Paper, Thomson Reuters, Amtrak, Cummins, P&G, Procter & Gamble, Qualcomm, eBay, PayPal, all in this quarter, and this is a small sampling. And with that, I will turn it back over.
Ken Bond: Operator, I think we’ll be ready to begin the questions now.
Operator: (Operator instructions) And we’ll take our first question from Heather Bellini with ISI Group.
Heather Bellini – ISI Group: Good afternoon, everybody. Safra, I was wondering if you could share with us your views on Europe and what you are seeing with sales cycles in that region now versus say a few months ago and I guess in particular your view on whether or not you are starting to see this impact deal signings? Thanks.
Safra Catz: Well, that’s really a question for Charles. I mean we actually were very, very strong in Europe. By the way, they had a pretty tough compare actually because they had a reasonably good Q4 last year and so far we are actually off to a very good start, but there is no question that the U.K. government and a number of our big customers have been impacted by different things in Europe. But we have so many products and we have such diversity in our European base and – that things have been going very well for us so far. Charles, you want to comment on that?
Charles Phillips: No, that just sums it up.
Heather Bellini – ISI Group: Thank you.
Ken Bond: Next question.
Operator: We’ll go next to Adam Holt with Morgan Stanley.
Adam Holt – Morgan Stanley: The operating margins were obviously terrific in the quarter. You beat consensus by over $400 million. Safra, I believe you talked about the gross margins in the hardware business. Where else did you see the key contributors to the margin upside in the quarter and as we look at the next year, do you feel like we’ve reset at a higher level, heading into fiscal ’11?
Safra Catz: Well, of course, you know, you all have become accustomed to the fact that we sell a lot more software, but we don’t increase our cost structure very, very much. Sun and our own business generated a lot of new software sales. I mean so that on its face ignoring the hardware would lead to higher – to improved operating margin. And then we have the hardware business, which is clearly – we are making it at the gross margin line, we are making it at the operating expense line, we are making it all around. But this is a scale business. And the more we grow in scale, our software business frankly does, more we grow in scale as a hardware business our operating margins will improve. You just need to look at our history for the past few years and it shows up sort of all around, hardware and software business.
Adam Holt – Morgan Stanley: Terrific. Thank you.
Operator: We’ll go next to John DiFucci with JPMorgan.
John DiFucci – JPMorgan: Safra, you’ve been very clear about focusing on profits as it pertains to Sun and actually as it pertains to any business, but looking forward into this business, as – on the hardware top line, can you give us a little more general guidance on how we should be thinking about it going forward. I mean coming into this quarter, obviously end of your fiscal year and it was close to what Sun’s fiscal year would have been and perhaps may be the hardware business looked pretty good and perhaps there could have been some pent up demand too to show that. But I am just wondering if we – should we, given the guidance for next quarter and looking forward, if we should be just may be not too aggressive on the top line for the hardware business going forward?
Safra Catz: Well, there is no question we need to get some sort of a base line for the hardware business, but you need to understand that we are also selling differentiated products with a lot of new differentiated products, both out and coming out. And Exadata is one of those types of products. So, obviously, I am not going to recommend you get ahead of my guidance, that is the reason I am giving you guidance. It’s what we actually think we are going to do. But we will need a year to understand the amount of seasonality that there is in the hardware business. We don’t have full visibility and as I did mention, we are not – we are no longer reselling other – some products that were other people’s products, which Sun sold for hundreds of millions of dollars a year. And so that has to be – we need a year without that for you to get a base line. But in general, we feel that – we already see it. Customers are buying a lot of hardware now. They are very, very loyal to the technology that they love. And now that they know that it has a future and that we are investing an enormous amount in continuing these lines, and in enhancing them, they are much more comfortable making those investments again. So, you can see sequentially we are not projecting a very large decline, which in our software business we usually are between Q4 and Q1 because we have some hardware specific momentum we are very upbeat about. But we will need a year to understand pipelines and conversion rates, et cetera, and see how we come out as well as to be able to measure some of these new products and how they are taking off.
John DiFucci – JPMorgan: Thanks. If I might, just a quick follow-up for Larry to that in the hardware business. The Exadata product both OLAP and OLTP solutions and people are used to buying analytics in an appliance fashion or in appliance form function. I am just curious, how much are you starting to see customers get as far as their comfort level of buying transaction processing solutions and in buying Exadata?
Larry Ellison: Well, I think as long as we can demonstrate – the Exadata version 2 is a relatively new product, as long as we can demonstrate in benchmarks that were a lot faster than IBM’s fastest computer, the appliance is particularly attractive in OLTP because since OLTP is mission critical and all these pieces fit together, our architecture is not only faster than IBM’s, it’s much more reliable. Exadata has a fault-tolerant architecture. There is no single point of failure, which is much more important in OLTP than it is in datawarehousing. So we are faster and more reliable. Now we have to – people are skeptical about any new product. They buy a couple of machines and they test them and then they put them into production and if we are successful then they start making standardization decisions that I think the combination of much better performance and the fact that it’s appliance where all the pieces fit together, engineered to fit together and tested together and the fact that it’s a fault tolerant architecture gives us a huge advantage over IBM in the OLTP space. So, again each customer will take their time in trying it and then make a decision, but we are making really good progress. I also want to add on to what Safra said, she forecast hardware at $1 billion for Q1. The guidance is the guidance. However, you should know our plan is to dramatically grow the Sun sales organization, and strongly grow the Sun business. Your earlier question, are we just focused on profitability, we are focused on growing the Sun business and growing it rapidly. We are being very conservative in our guidance, as we should be. But we are adding a lot of sales people. May be Charles can – comment on just how quickly – it takes them a while to get productive but may be Charles can comment on just how quickly we are adding distribution capacity to the Sun’s sales organization so we can grow that business.
Charles Phillips: Yes, as you probably know, we made a big public announcement that we are hiring and so that generated a lot of momentum. What I have been impressed with is the quality of people who are coming because they are excited about the differentiated message they see, what Sun is doing, they see Exadata, they see the investment that we are making, so the quality of senior people who want to come here from our competitors has surprised me and we are starting [ph] them up as we speak and now that the quarter is over with, we have a little more time to focus on it. We are ramping up, but the pipeline is there and people to hire.
Larry Ellison: Yes, we are going to more than double the Sun sales force.
John DiFucci – JPMorgan: Okay, thanks.
Larry Ellison: Okay.
John DiFucci – JPMorgan: Thanks, that’s very helpful. Nice job.
Larry Ellison: Thank you.
Ken Bond: Next question please?
Operator: We’ll go next to Sarah Friar with Goldman Sachs.
Sarah Friar – Goldman Sachs: Terrific. Thanks for taking my questions. Just first on Sun maintenance, or it feels as if you still have a lot of low-hanging fruit, now that you've got a quarter under your belt, what are you seeing in terms of trends in pricing and maintenance and then attach rates? And then I have a very quick followup after this, if I may.
Safra Catz: Sara, you have kind of a funny line, so we couldn't quite hear you, but you are asking about Sun’s support – support on – ?
Sarah Friar – Goldman Sachs: Yes, exactly, Sun maintenance, so what you are seeing in terms of pricing ability and then attach rates, which I think we are quite weak, before you took on Sun.
Safra Catz: Yes, we – well, we announced new pricing, which was very, very well received. Gartner wrote an excellent report on it and customers have sort of adopted it very much. It’s considered extremely competitive. A lot of customers that had not been on support from Sun have come to Sun, have come back to Sun. And the attach rates are increasing. So, there is definitely value to Sun’s support for hardware and software and customers are recognizing that and attach rates are increasing. And we are starting to increase even further.
Sarah Friar – Goldman Sachs: Great. And then if I could, a followup, just very big picture. You are clearly one of the big tech bellwethers. Your views on the environment hold a lot of weight. Are you seeing any change on the margin, not even just Europe specific but just on the margin in terms of customers’ willingness to spend today versus a month ago, versus may be two months ago, because clearly the market is saying that they are very concerned right now.
Safra Catz: You know, for us as I said before, it’s very hard for us to parse the line, to make a line between Oracle’s company-specific momentum and the overall market. Our customers are very, very sort of happy right now and they are showing that by investing in more and more of our products. This is sort of a consistent message. We got the exact same question a quarter ago and a quarter ago. And there is no question that the quarter started off very well for us already. And I think that we are not economists here, we just sell software and hardware. So far, our customers are making very significant investments and there are a lot of customers looking at our products right now, very, very seriously and making buying decisions literally as we speak. So, I don’t know if anybody else wants to take a stab at the economy question, but things are going well here guys, which I think is clearly obvious.
Sarah Friar – Goldman Sachs: Okay. Well, the perspective is great. Thank you.
Operator: We’ll take our next question from Joel Fishbein with Lazard Capital Markets.
Joel Fishbein – Lazard Capital Markets: Hi, can you please give us some more color around the change or the elimination of the Sun channel and how that has impacted or the impact it’s having on the operating margin line?
Jeff Epstein: Well, yes, let me correct that. We didn’t eliminate the Sun channel at all, that’s not exactly what we are doing. What we said was over time there would be a gradual shift to a more direct mix of business that Oracle normally sees. So pre-Sun anywhere from 40% to 43% normally in a given quarter of our business goes through indirect channel. So we’ve had a strong channel for many, many years. It’s important to our business. Sun was much, much higher than that. For large customers, we want to service them directly. So there will be a shift toward our number over time, but nothing dramatic in one quarter. Nothing to disrupt the flow of business. So that shift has started, but again it will take some time.
Safra Catz: And regarding the margins, obviously this will lead to actually higher revenues for the company and because of our really massive scale it will actually also lead – revenues will increase a lot, expenses will not increase as much, which means that overall operating margins will improve consistent with really the leverage and the mass scale we have here.
Joel Fishbein – Lazard Capital Markets: So, the takeaway is that it really wasn’t an impact in this quarter because it’s too early to impact, is that the way to look at it – ?
Safra Catz: That’s fair.
Jeff Epstein: Correct. Those partners are adding value and we want – the ones that are adding value, we want to continue to work with for many years.
Joel Fishbein – Lazard Capital Markets: Thank you.
Operator: We’ll take our last question from Phil Winslow with Credit Suisse.
Phil Winslow – Credit Suisse: Yes, great quarter. I have just a question on the database and middleware line.
Ken Bond: Phil, we can't hear you.
Phil Winslow – Credit Suisse: Can you guys hear me now?
Safra Catz: Not really.
Ken Bond: Phil?
Phil Winslow – Credit Suisse: Can you guys hear me now?
Ken Bond: Sorry, Phil.
Safra Catz: Thanks.
Ken Bond: Phil, we are not getting a connection. We’ll try back next time. Operator, we can close out the call please.
Operator: And that will conclude the question-and-answer session. I would now like to turn it back over to Ken Bond for any additional or closing remarks.
Ken Bond: Thank you, operator. The telephonic replay of this conference call will be available for 24 hours. The replay number is 888-203-1112 or 719-457-0820, and the passcode is 8533249. Also the webcast, the replay will be available through the close of market on July 1st and can be found on the Investor Relations website. Please call the Investor Relations department for any questions from this call and we look forward to speaking to you. Thank you all for joining us on today’s conference call. And with that I will turn the call back to the operator for closing.
Operator: And again, that will conclude today’s call. We do appreciate everyone’s participation.